Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Medacta First Half 2025 Results Conference Call. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Francesco Siccardi, CEO of Medacta. Please go ahead, sir.
Francesco Siccardi: Thank you very much, and good afternoon or good morning. Everybody, welcome to Medacta 2025 Half Year Results Conference Call and Live Webcast. The slides of today's presentation can be found on the Medacta Investor Relations website, along with the media release. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. And listeners and readers are therefore encouraged to refer to the disclaimer on Slide 2 of today's presentation. And after those housekeeping remarks, I will now turn to Slide 4 and start with the highlights of today's publication. We have already presented our top line H1 revenues EUR 344.1 million, corresponding to an increase in constant currency of 19.8%. Our adjusted EBITDA margin for H1 in constant currency, reached 29.6%, which corresponds to a rise of 27.5% over last year period. The net profit for the period amounted to EUR 60 million, a significant increase of 58% over H1 2024. And we confirm our outlook both for 2025 and our midterm outlook. If we go on Slide 5, we can appreciate even more the considerable above-market revenue growth that Medacta has been able to deliver over the last 5 years. This growth represents more than 4.5x the market. So Medacta is consistently delivering above-market revenue growth. On the next slide, Slide #6, we can see why we are delivering those remarkable results. And clearly, the most important one is our ability to constantly innovate in a way that really impacts and improve patient outcome. And at the same time, we are able to sustain the healthcare system in terms of providing solutions, which are adaptable and sustainable. This innovation is sustained by education -- medical education, fully personalized to our customers, the surgeons, so that they are able to adopt this innovation in a safe and attractive way for the patient. And the combination of great products with great service allows us to attract a lot of good and experienced salespeople, and this is the third pillar of our above-market growth story, and those are exactly the success factor behind our H1 results. If we move to Slide #4, we can see again the split of our sales across our geographies. And I will not spend too much time as we presented those results already in July, but we can see a very, very good growth rate across all our geographies, Europe, U.S., Asia Pacific and Latin America. If we then look at the split of our product mix, you can see again a very good performance across all our business lines; our more mature and core product lines like Hip grew around 11.5%, Knees almost 24%, Extremities, which includes shoulder and sports medicine, 44% and Spine almost 19%. So we can see a very, very good performance across all our business lines. Quickly an overview of how this performance compares with the market growth. On the Hip side, with a strong focus on interior minimal invasive surgery, the growth corresponds to more -- almost 3x market growth. If we look at the Knees on the next Slide #10, we can see growth focusing on kinematic alignment, and the unique and first KA optimized implant, the GMK SpheriKA that allowed us to generate a growth which correspond to more than 5x the market growth for the first semester. Spine, again, a big focus on personalized technology, both through our NextAR and MySpine allowed us to grow 5x faster than the market in a market that we know is very competitive and therefore, a remarkable performance here as well. And then the Extremities. Extremities, as I said before, they include shoulder arthroplasty and our sports medicine business line with a remarkable 44% year-over-year growth and again, significantly above market growth. I would like now to introduce Corrado Farsetta, our CFO, to go over our P&L details. Please, Corrado.
Corrado Farsetta: Thank you, Francesco. Let's have now a look at our key financials, and I will start with this first slide where we see the gross profit that in the first semester this year reached EUR 235 million (sic) [ EUR 235.1 million ] compared to previous period of EUR 190 million (sic) [ EUR 197.7 million ], representing an increase of 19%. The gross profit margin was 68.3%, pretty much in line with the previous year where it was 68.5%. Moving to the next one. Here, you see the adjusted EBITDA margin represented by the red line, you see that this year, the adjusted EBITDA margin at constant currency reached 29.6% compared to 26.9% of the first semester 2024. And this represents an increase of 2.7% versus previously. In euro, the EBITDA adjusted increased to EUR 98.8 million, representing an increase of more than 27% year-over-year. As we say, the acquisition of Parcus was a good achievement also from an accounting perspective, and this is reflected into our an adjusted reported EBITDA that was equal to EUR 110.5 million, including a positive net one-off of EUR 12 million coming from the badwill resulting from the acquisition of the Parcus Company. Moving to the next slide. Here, we see the net profit -- before tax, the net profit was equal to EUR 68.6 million compared to EUR 44.7 million of previous year. Thanks to this EUR 12 million of positive from the acquisition, the effective tax rate was lower than the previous period. We registered 12.5% of this semester compared to 15% roughly of the previous period in 2024. So as a result, the net profit for the period was EUR 60 million or 17.4% representing an increase of around 60% versus the previous period. Moving to the next one. Here, we see the CapEx. As we said several times in this business, growth means primarily new instruments and expansion of production capacity. And if you look at our case, we see the usual big slice in that view, represented by instruments EUR 36.2 million, represented by far, the biggest chunk of our CapEx. The second big chunk of CapEx is represented by other tangible, where you can see there primarily the expansion of our buildings, production facilities, offices and the logistics hub in Italy. And both instruments and other tangibles are, let's say, driven -- CapEx driven by growth, representing more than 80% of our total CapEx. Research and development capitalized was equal to EUR 5 million, more or less in line with the previous period. And the -- today, this year, we have roughly EUR 5.3 million of CapEx in financial. CapEx including the price base for the acquisition of the company of Parcus Medical. Moving to the next one. You see the operating cash flow. So the cash flow generated by operating activities remains robust and sufficient to finance our investments. In particular, this semester, we reduced EUR 73 million compared to EUR 42 million of the previous period, explained basically by the expansion of our EBITDA and some improvements in -- let's say lower requirements of working capital. So this EUR 73 million of cash flow generated was more than enough to finance all our CapEx that we just discussed and to generate a small positive free cash flow of EUR 8 million this semester. Moving to the last slide. You see here that, thanks to the ability of the company to set finance the growth, the leverage remains very low in the first semester of this year, it was 0.9x the EBITDA compared to roughly 1x of full year 2024, and I would say, pretty much in line with the average over the last 5 years, where the value for the last 5 years, the average is 0.95x the EBITDA. I believe this is my last slide. So now I'll hand it over to Francesco for our final remarks.
Francesco Siccardi: Thank you, Corrado. I would like just to go over our outlook and that as we said before, has been confirmed. So for the 2025 outlook Medacta is targeting revenue growth in the range of 16% to 18% in constant currency, and an adjusted EBITDA margin of around 28% before any currency effect. And this includes the recent Parcus acquisition, and it's subject to unforeseen events. In terms of midterm outlook, the revenue compounded annual growth rate in the CAGR for the period 2024, 2027 in constant currency is expected to be in the range of 10% to 14% and an adjusted EBITDA margin targeted to be around 28% before any currency effect. The last comment is on the tariffs. Medacta remains not impacted by the U.S. tariffs, but we will continue to monitor the development of the situation as it can be quite volatile. In conclusion, the key messages for this H1 call is to underline the significantly above market growth of Medacta 19.8% in constant currency, which is the direct result of our strategy, big focus on innovation, innovation that can deliver both in terms of improving patient outcome and make the healthcare system more sustainable. This innovation is well supported by medical education and personalized training of our customers, surgeons and a further expansion of sales reps and team all around the world. The expansion of EBITDA margin was quite remarkable in H1, reaching in constant currency, 29.6%. And our aim continues to grow above the market for the foreseeable future as our midterm guidance underlined. As usual, I would like to thank, in particular, all our employees for those fantastic results, but as well our clients, our suppliers and our partners worldwide. Thank you very much for your attention. I think we can now open the Q&A and both of us were available to address your questions.
Operator: [Operator Instructions] First question is from Sam England, Berenberg.
Samuel England: The first one, could you just give us a bit of a sense for the impact of geographic mix on margins in the first half? I think historically, markets like the U.S. and Australia have been higher margins. So just wondering, if you saw a benefit there given the stronger growth in Europe? And then looking ahead, do you think mix will be a tailwind on margins given the growth given the pace driving for you, particularly in the U.S.? And then the second one on Hip. Just wondering if the momentum you saw in H1 has continued so far in H2, you are well above market in the first half, but comps obviously tough a bit as we move into H2. So I just wanted to get a sense for how you're thinking about growth there for the rest of the year?
Francesco Siccardi: Yes, I can maybe start with the second question. As you said, H2 last year was very, very strong. So we definitely have a tougher comp in H2, but at the same time, we still see a good momentum in terms of top line. And so we -- that's the reason why we increased our guidance for the year. In terms of geo mix, I think Corrado can give you a little bit more color.
Corrado Farsetta: Yes, sure. Let's say, normally, we expect depending on the level of the P&L, you can have positive or negative effect because when we speak about gross profit, average selling price minus industrial costs, of course, we said several times Australia by far is the most profitable market and then U.S. and then the other countries. And when we move down to the EBITDA margin, this could change, and we have seen and we know that there are big balances in terms of EBITDA margin between countries. In general, things I would say that this period in this semester, given the, I would say, well balanced growth of our regions, we have registered a very small, I would say, negligible effect from the geographic mix growth. So I think it is not worth to mention it.
Operator: Next question is from [ Michael Bähler ], ZKB.
Unknown Analyst: So my question is the gross margin declined by around 20 basis points from last year. Was this mainly due to FX effect?
Corrado Farsetta: Yes, sure. Basically, that is the FX that we have registered in this semester.
Francesco Siccardi: I would say this is the net effect of the FX. The FX was actually a little bit higher than that, but was compensated by a good economy of scale as previously mentioned.
Operator: Next question is from Sandra Dietschy, Octavian.
Sandra Dietschy: I also have 1 on the margin. In H1, your adjusted EBITDA margin was very strong with 29.6% in constant currency, yet for the full year, you guide for around 28%, which implies quite a drop in the second half. You mentioned relatively low sales and marketing costs in H1, but maybe beyond higher Congress activity, where else should we expect increased investments in the second half that drives such a margin decline? And then I also have a question on the U.S. manufacturing. Back in April before we were aware of the Nairobi Protocol, you mentioned as one way to deal with the tariffs would be to expand the U.S. production and maybe also to increase the utilization of the Parcus facility in Florida or even broadening your manufacturing footprint. Now that you benefit from the tariff exemption, how do you view your U.S. manufacturing strategy now? Are you still considering expanding local production perhaps for reasons beyond the tariffs or yes. And thoughts on that would be very much appreciated.
Corrado Farsetta: Okay. Sandra, let me take first your question about margins, and then Francesco will respond to your question on the U.S. manufacturing. So the first semester, we said 29.6%. This was the EBITDA margin of H1 2025, and we are now targeting a full year 28%. So the first semester, there are several factors that we should take into account in order to understand the evolution of our EBITDA margin. The first one is the acquisition of Parcus. The first semester was only partially including this event because the acquisition was completed, say, in April. So in second semester, you will see a full-year effect of the dilution, which is bigger in the second semester than the first semester because of timing, full effect versus a partial effect. A second effect that we normalize, it is not -- it has nothing to do with, let's say, productivity or fixed cost, but it's just an effect of seasonality of certain costs that we didn't receive in the first semester that we expect to receive in the second semester. So we have booked them, and this is also a negative component in the second semester that we don't have in the first one. And then you always have, as we said several times, the third effect, which is the full effect in the second semester of the hirings that we had in the first semester. We hired people during the first 6 months that have a full cost effect in the second semester. So without being too much detailed, but if you take all these effects, let's call it, time effect out from the first semester, you go back to roughly 28%, which is our guidance for the full year, and which is more or less in line with the second semester profitability that we expect to reach.
Sandra Dietschy: Okay. Can you give us a hint on what's the dilutive impact of Parcus on the full-year margin?
Corrado Farsetta: No, let's say, we don't disclose this, but let's say it is not that big. It's not a very big number. You can see that we are guiding anyway, 28%, including this negative. So the number, the effect is not that big.
Francesco Siccardi: And Sandra, I will take on the second question about the U.S. plant. So you are correct. We do have a manufacturing plant currently focused 100% in sports medicine coming from the Parcus acquisition in Florida. This is a good asset to have in this moment because the situation remains uncertain. And even before, we were talking about tariffs, we were starting the possibility midterm to further expand our manufacturing in the U.S. for various reasons, the U.S. represents 50% of the joint global market in value. It is almost 60% of the global market for sports medicine and spine. So if -- as we are reaching our saturation capacity in Switzerland, and this saturation should basically hit in 28% to 29%, depending on our growth rate, we were already planning where to go next in the U.S. with our natural answer to that. And this is still our decision and this is something that we are starting to actively focus on because in order to, let's say, be ready in 2028, 2029, you start to plan and view in the next couple of years at the latest. So you need to have a good plan, construction permits, et cetera. So the U.S. manufacturing remains definitely part of our future growth plan.
Operator: [Operator Instructions] Mr. Siccardi, gentlemen there are no more questions registered at this time.
Francesco Siccardi: Thank you very much then, everybody, for your participation. I would like once again to thank as well all our employees, customers, partners and suppliers for their support, and I look forward to speaking with everybody soon for our full year results in June month. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.